Operator: Good morning, and welcome to Brunswick Corporation's 2017 Third Quarter Earnings Conference Call. [Operator Instructions]. Today's meeting will be recorded. If you have any objections, you may disconnect at this time. I would now like to introduce Ryan Gwillim, Vice President, Investor Relations.
Ryan Gwillim: Good morning, and thank you for joining us. On the call this morning are Mark Schwabero, Brunswick's Chairman and CEO; and Bill Metzger, CFO. Before we begin with our prepared remarks, I would like to remind everyone that during this call, our comments will include certain forward-looking statements about future results. Please keep in mind that our actual results could differ materially from these expectations. For the details on the factors to consider, please refer to our recent SEC filings and today's press release. All of these documents are available on our website at brunswick.com. During our presentation, we will be referring to certain non-GAAP financial information. Reconciliations of GAAP to non-GAAP financial measures are provided in the reconciliation sections of the consolidated financial statements accompanying today's results. I would now like to turn the call over to Mark.
Mark Schwabero: Thank you, Ryan, and good morning, everyone. Today, I will focus my remarks on our third quarter results as well as provide insights into the global Marine and Fitness markets. Bill will elaborate on our financial performance, including comments pertaining to our segments as well as our P&L and cash flow expectations. I'll then wrap up with our outlook on the remainder of 2017 and a preliminary view on 2018. As we look to the fourth quarter and assess our business opportunities and risks, despite facing challenges in the second half of the year, we are confident in our ability to execute in this environment and believe that 2017 will result in another year of strong revenue and earnings performance, along with excellent cash flow generation. With about 90% of the Marine season complete, we have seen the U.S. Marine market largely perform consistent with our expectations. Overall demand in international Marine markets also remains strong. Our emphasis on product leadership continues to position us to capitalize on the growing Marine market. Our largest business, Mercury Marine, continues to leverage this market growth into outstanding performance and resulting share gains through overall operating excellence. And almost all of our boat brands, including Boston Whaler and Lund, continued to report strong results. However, we're not without certain challenges and are disappointed with our overall third quarter results. We faced certain headwinds in the quarter, which led to a decline in boat earnings. As previously discussed on the second quarter call, we significantly lowered production in our large fiberglass sterndrive/inboard boat category as we meaningfully reduced pipelines from second quarter levels in response to the weak demand over the last several quarters. In addition, during September, Hurricane Irma disrupted our Florida-based manufacturing operations. In our Fitness segment, results trailed our expectations as we experienced a more challenging global market environment, which affects both our sales volume and our margins, which I'll discuss in greater detail in a moment. Despite these challenges, we continue to believe that the long-term Fitness market fundamentals are solid. And given our emphasis on product leadership, operational excellence and technology development, we remain confident that we will be successful in this evolving Fitness marketplace. Third quarter revenue in 2017 increased by 4.4%, and our gross margins for the quarter were 27.4%. Adjusted pretax earnings decreased by 3.9%, while diluted EPS as adjusted of $0.91 was consistent with third quarter of 2016. Mercury Marine continues to outperform the market where its outboard engine business continues to leverage a favorable retail demand environment, particularly for higher horsepower engines, leading to share gains in many markets. In addition, the recurring nature of the parts and accessory business continues to provide steady revenue and earnings growth throughout the year, and we are successfully executing our growth strategy for these businesses. Finally, the aluminum outboard boat business is taking advantage of a growing market, which together with new product introductions, is also resulting in strong performance. We continue to execute on our capital strategy in the quarter. In response to an attractive valuation opportunity, we increased our share repurchases in the third quarter to $60 million, accelerating repurchases planned for the fourth quarter. In addition, earlier this month, we increased our quarterly dividend by 15% to $0.19 per share. Both of these actions reiterate our confidence in our strategy. Now I'll provide our perspective on the U.S. Marine market, which is performing in line with our expectations. Based upon preliminary SSI data for the third quarter, which on average comprises about 45% of the year at retail, the industry unit volumes grew approximately 2%, leading to a year-to-date growth rate of 5%. On our second quarter call, we anticipated that the first half performance would be revised upwards as states completed their reporting, which did occur. We based our view on several other data points, including floor plan lending activity and industry outboard engine registrations, which are now relatively consistent with the year-to-date SSI trends. On specific market segments, the outboard boat demand remains healthy, increasing by approximately 6% year-to-date, while outboard engine retail demand is up 5%. Fiberglass sterndriveinboard units declined by 7% in the year-to-date period as more products in this category shift to outboard propulsion. The fiberglass sterndriveinboard boats in the 41-foot to 65-foot range are down 9% for the year, which is consistent with our view of this category and consistent with our previous calls. While SSI data was positive in the third quarter, we believe this is a result of reporting timing and does not indicate a change in market trends. The retail market was also negatively affected by the August and September hurricanes and will likely have an impact for the rest of the year. The affected areas represent approximately 25% of the U.S. retail sales from the start of September through the end of the year with those four months constituting about 15% of the total retail sales in the U.S. for the year. Consistent with market reactions following previous hurricanes, we expect the replacement activity related to damaged boats to take up to 18 months, potentially resulting in a slight tailwind as we move through 2018. Next, I would like to share some perspectives on our retail data for Boats based upon our pipeline inventory activity. Our internal U.S. retail boat registrations were up 9% in the quarter and 4% year-to-date. The year-to-date performance is slightly below the overall industry but better than the results reflected in the SSI retail performance data reported for Brunswick. We believe that we are performing favorably against the market in many of our boat categories with the growth in the pontoon boats trailing behind the industry trends. This is consistent with our comments on the second quarter call when we noted that production constraints curtailed pontoon shipments and affected retail activity. We've improved our production capabilities in the third quarter and feel very comfortable with our ability to satisfy demand moving into the new model year. Global retail's unit sales grew 4% for the quarter and 3% to date. This year-to-date trend, growth trend, is consistent with our annual performance in prior years and is consistent with our 3% to 5%-unit growth target. International markets have contributed to our growth rate in 2017, after being a headwind for several years. Next, I would like to review our current perspectives on the regional Marine markets. Revenue growth in Europe reflected a favorable market environment in the first nine months of 2017, and our performance exceeded market growth rates. Our plan reflects growth in the European retail boat market for the full year at rates similar to the year-to-date period. In Canada, retail and wholesale unit demand in the first nine months improved versus the prior year as we anticipated more favorable economic conditions and a relatively stable exchange rate environment. Our full year outlook assumes that the demand environment will continue to recover. In the remaining regions, the engine business continues to pursue targeted share gains in Asia and Latin America markets through enhancing its distribution and service presence and capitalizing on our expanded Sea Pro branded commercial engines. Latin American markets are also showing signs of recovery, absent the Caribbean market, which remains challenged, while Asia Pacific and Africa and Middle East markets continue to be stable. Overall, the international Marine market demand has been solid in 2017 with positive unit growth and has exceeded our initial expectations. Our overall Marine growth in dollars will exceed the market unit growth rates, reflecting improvements in mix as well as benefits from recently completed acquisitions. Moving to our Fitness segment, revenue increased year-to-date by 2% on a constant currency basis, excluding acquisitions. Our revenue performance in the quarter was flat on a comparable basis. For the year, the North American and European commercial Fitness equipment markets have been flat. Value-oriented franchise clubs continue to grow and invest, while sales to traditional clubs and certain vertical markets have declined. We continue to believe that the traditional clubs are slowing investments as they evaluate alternatives in response to a change in exercise preferences. Our performance in Europe has also been affected by competitive dynamics, which are influencing pricing, particularly on cardio products. In addition, the third quarter revenue was affected by the timing of deliveries at the end of the quarter, which will benefit revenue growth in the fourth quarter. Asia Pacific has seen strong growth, with Japan, Australia and China leading the way. The Latin American markets, particularly Brazil, are starting to recover as economies improve and currencies stabilize. Our new product introductions will help improve volume and margin pressures. Our new cardio products, introduced in the third and fourth quarters, should benefit year-over-year sales and earnings comparisons, with technology and improved customer-solution products beginning to differentiate the Fitness segment's product portfolio in future quarters. New and refreshed Life Fitness and Cybex branded product introductions will continue into 2018 and will increase growth opportunities by expanding the overall product base across all the major categories and price points. Now I'll turn the call over to Bill for some additional comments on our financial performance.
Bill Metzger: Thanks, Mark. For the third quarter, sales in our combined Marine segments and Fitness segment increased by 5% and 2%, respectively. From a geographic perspective, consolidated U.S. sales increased by 3%, while sales outside the U.S. on a constant currency basis increased by 6%. By region, sales on a constant currency basis increased by 4% in Europe while Rest of the World sales were up 8%. Year-to-date, sales in our combined Marine segments and Fitness segment increased by 8% and 6%, respectively. From a geographic perspective, consolidated U.S. sales increased by 6%, and sales outside the U.S. on a constant currency basis increased by 11%. By region, sales increased by 8% in Europe while Rest of the World sales were up 13%, both on a constant currency basis. Turning to our Marine Engine segment, third quarter sales increased by 7%. From a geographic perspective, sales in the U.S. and Europe increased, reflecting growth in outboard engines and parts and accessories. Rest of the World sales were up 16% compared to prior year on a constant currency basis, with 12% excluding acquisitions. Growth was driven primarily by increases in Asia Pacific and Canada. On a product category basis, the outboard engine business reported strong sales growth in the quarter. This performance reflects a favorable retail demand environment, particularly for higher horsepower engines and continued benefits from share gains in targeted saltwater, repower and commercial markets, reflecting benefits from recently launched products. Third quarter sterndrive engine sales declined slightly as the demand environment continues to be affected by the shift to outboards and unfavorable global retail demand trends. As some of this market continues to transition to outboard propulsion, we believe that our expanded outboard engine portfolio, distribution channels and service capabilities are well positioned to capitalize on this opportunity. Mercury's parts and accessories businesses delivered solid sales growth during the quarter, with a strong increase in international markets, reflecting the successful execution of our international growth strategy, including the recent acquisition of Lankhorst Taselar, a distribution business based in The Netherlands and Germany. New product launches, along with a growing adoption of new engine control technologies, continues to add to the growth of these businesses. Mercury's operating earnings increased by 5%, and operating margins were at 17.2%, which was down 30 basis points versus the prior-year quarter. The improvement in operating earnings reflected benefits from higher sales, cost efficiencies and favorable foreign exchange impacts. The slight decline in operating margins was driven by planned increases in growth-related investments in advance of new product introductions. For the nine months, operating margins grew to 17%, which is 20 basis points higher than year-to-date 2016. In our Boat segment, third quarter revenues increased by 1%, with strong growth in the aluminum outboard boat business, which benefited from solid market growth and higher production levels of pontoon boats. Sales comparisons also include the effect of the large fiberglass sterndrive/inboard boat sales decline and the hurricane impacts referenced by Mark earlier in the call, which on a combined basis, affected sales comparisons by over 11%. In the U.S., which represented 78% of the segment, sales decreased 1%. This decrease was more than offset by solid international growth with Europe up 22% on a constant currency basis. Global wholesale shipments for the third quarter increased 6% and are up 7% year-to-date. Changes in average selling prices decreased by 5% in the quarter and were up 1% year-to-date. These comparisons reflect the sales mix impacts of the previously mentioned planned declines in large fiberglass sterndrive/inboard boat revenues and strong sales of aluminum outboard products. Both periods also include benefits from the continued customer migration to boats with more content and higher horsepower engines, which are adding top line benefits over and above normal price increases. Our full year plan anticipates growth in average selling prices slightly above year-to-date trends. Dealer pipeline inventories ended the quarter at 27 weeks of boats on hand, measured on a trailing 12-month retail basis, which is relatively consistent with the past three years. With the exception of the large fiberglass sterndrive/inboard business, which comprises a very small amount of unit volume, we believe that our overall pipeline levels are appropriate and in excellent shape given our growth expectations in the various boat categories and markets as well as dealer sentiment and outlook for the remainder of the year. For 2017, we are planning for the weeks on hand of inventory to be consistent with prior year-end levels. In addition, for the full year, the growth in wholesale units is expected to be slightly below year-to-date performance with the growth in retail units expected to be slightly higher than year-to-date growth. This implies that wholesale growth rates for the year will slightly outpace retail unit growth rates. This next chart provides a historical look at pipelines at the end of each quarter. A key observation from this data is that over the past five years, we have done an excellent job ending the third quarter, which is very close to the completion of the model year, with inventories appropriately sized and with very clean aging. We are expecting to finish this year consistent with the previous 4 years and expect to be very well positioned moving into the 2018 Boat Show and selling season. The Boat segment's third quarter operating earnings decreased by $6.7 million when compared to the prior year. The decrease in operating earnings resulted mostly from an unfavorable change in sales mix, resulting from the previously discussed factors impacting sales comparisons as well as manufacturing inefficiencies, including cost associated with the hurricane. For the 9 months, operating margins as adjusted were 3.6%, which is 90 basis points lower than year-to-date 2016. Shifting to our Fitness segment, where sales increased by 2%. Revenue gains resulted mostly from the ICG acquisition completed in 2016. Sales comparisons also reflected flat overall global market demand with growth in sales to value-oriented clubs being offset by softness in sales to traditional clubs and other vertical markets. On an as-adjusted basis, operating earnings decreased by $5.3 million, and operating margins were at 10.8%, which was 250 basis points lower than the prior-year quarter. The decline in operating earnings resulted from lower margins, reflecting more challenging competitive dynamics in certain international markets and unfavorable changes in sales mix, which more than offset benefits from acquisitions and cost-reduction efforts. For the 9 months, operating margins as adjusted were 9.6%, 240 basis points lower than last year. Next, I will discuss the impact that foreign currency is having on our performance. In the third quarter, sales comparisons were positively affected by less than 1% and operating earnings comparisons were positively affected by approximately $4 million, which was slightly lower than our plan. Moving to full year 2017, we are expecting a slightly favorable impact on sales and operating earnings, including favorable comparisons for the fourth quarter. These estimates for 2017 assume that foreign exchange rates remain consistent with current rates for the remainder of the year. Our year-to-date effective book tax rate as adjusted was 27.9%. This includes net tax benefits resulting from share-based compensation activity of $7.7 million, substantially all of which occurred in the first half of 2017. Excluding these benefits, our as-adjusted effective tax rate for the year-to-date period was just under 30%. For the fourth quarter, we are planning for an effective tax rate of approximately 30%. Including the share-based compensation tax benefits recorded in the first 9 months, the full year effective tax rate is expected to be approximately 28% to 28.5%, which is reflected in our guidance. Our full year EPS guidance does not include any additional excess tax benefits for the remainder of the year. I would also like to note that the improvement in the full year effective tax rate does not result in EPS benefits incremental to our previous guidance. The drop-in rate is a function of the lower pretax earnings amount, while items like tax credits and excess tax benefits remained relatively constant. Finally, we are projecting our cash tax rate to be in the low to mid-teens percent range. Turning to a review of our cash flow statement. Cash generated by continuing operating activities was $255 million, which is $38 million lower than the prior year as benefits from slightly higher earnings were more than offset by higher seasonal working capital usage. Net increases in our primary working capital accounts totaled $101 million. The biggest changes included an increase in inventory of $91 million, an increase in accounts and notes receivable of $51 million. The impacts of these changes were partially offset by an increase in accrued expenses of $29 million and an increase in accounts payable of $12 million. The increased working capital used by the business of $54 million versus the prior year primarily reflects higher inventory and accounts receivable balances against the prior year, partially offset by increases in accounts payable and accrued expenses. Year-to-date, 2017 free cash flow was $190 million. Capital spending was $153 million for the first nine months, which included investments in new products as well as capacity expansions in our Marine and Fitness segments. Capital spending and related payments in 2017 are more heavily weighted to the first nine months as a result of the timing of certain capacity and product-related initiatives. Let me conclude with comments on certain items that will impact our P&L and cash flow for 2017. I will focus some -- on some of the more notable items. Our plan reflects diluted shares outstanding of approximately $90.2 million for the full year and approximately $89 million for the fourth quarter of 2017, which reflects higher-than-expected share repurchase activity in the third quarter. In addition, we now anticipate a slightly lower effective book tax rate, which I discussed earlier. Our cash flow assumptions continue to project free cash flow in 2017 to be greater than $250 million. Also listed here are some of the key cash flow metrics, which are largely unchanged from the July call. We continue to execute against our share repurchase program with repurchases of $60 million in the third quarter and $120 million year-to-date. While our plan does not contemplate any additional repurchases in 2017, we continue to view share repurchases as an attractive use of capital and will balance additional repurchases against other investment opportunities. We also increased our quarterly dividend 15% to $0.19 a share earlier this month. This action is consistent with our capital strategy objective of increasing dividends as earnings and cash flow improve and reflects our confidence in the ongoing performance of our business. I will now turn the call back to Mark to continue our outlook comments.
Mark Schwabero: Thanks, Bill. Starting with revenue, our consolidated plan reflects growth rates in 2017 of approximately 7% for the year, which is slightly lower growth rate in the fourth quarter. Our Marine Engine segment continues to perform as anticipated, and we expect our collective Marine businesses to continue to generate solid top line growth over the remainder of the year. We also plan for our Fitness segment to report fourth quarter sales growth, consistent with the third quarter growth. Gross margin percentage will be down for the year, but not to the same degree as our year-to-date comparisons. Operating margins are anticipated to decrease modestly with operating leverage in the mid- to high-single-digit percentage range. We are lowering our guidance for the year to $3.85 to $3.87. This adjustment reflects our third quarter results and our view that certain market headwinds faced in the third quarter in our Fitness and large fiberglass sterndrive/inboard boat businesses will continue to impact the fourth quarter. Despite these headwinds, 2017 is expected to be another year of strong revenue and earnings performance, along with excellent cash flow generation. Looking to 2018, we anticipate the market challenges facing the Fitness segment and large fiberglass sterndrive/inboard boats will continue to affect these businesses. Consequently, we're adjusting our 2018 full year expectations of diluted EPS as adjusted to $4.20 to $4.40, a decrease from the EPS target communicated as part of the 2016 to 2018 three-year plan. This revised target represents a mid- to high-teens pretax earnings growth and reflects the continuation of our share repurchase activity, consistent with our plan, but does not reflect any additional M&A activity. We will have additional commentary on '18 at next month's Investor Day and on our January earnings call. We're very disappointed that we're below our initial targeted range and are developing and executing against plans to ensure that we meet or exceed these adjusted expectations and to continue to deliver strong shareholder returns. Turning to our segments, the 2017 plan reflects continued revenue and operating earnings growth in our Marine Engine segment. Specifically, we're planning for revenue growth for the year to be in the 6% to 7% range. Our engine segment is expected to continue to deliver sales growth that exceeds the market as we continue to invest in new products and upgrade and expand our manufacturing and distribution capabilities to drive future growth. We continue to anticipate operating margin improvements for this business that outpace our initial long-term planning estimates. Our continued emphasis on new product development and improving cost efficiencies, along with our strong parts and accessory businesses, will enable us to drive incremental operating margin expansion. Moving to the Boat segment, we're targeting an annual revenue growth for 2017 to be 7% to 8%, which reflects strong fourth quarter growth in our fiberglass outboard and the aluminum outboard boat businesses, along with the continued decline in our large fiberglass sterndrive/inboard boat category. We're now anticipating that the operating margins will decline for the year, which reflects the year-to-date performance and modest year-over-year improvement in the fourth quarter. Our performance of the large fiberglass sterndrive/inboard boat business has impeded our ability to meet our operating margin goals for the segment. In the short term, we do not expect the demand environment for large fiberglass sterndrive/inboard product to materially improve, partially due to the hurricane impacts. Consequently, headwinds related to the weak retail and associated large boat pipeline reductions will likely continue into 2018. However, we do not anticipate the performance of this improvement -- this business will improve as warranty -- excuse me, however, we do anticipate the performance of this business will improve as warranty adjustments recorded in the first half of 2017 are not repeated, manufacturing efficiencies improve and benefits from cost-reduction efforts are realized. And as a reminder, the Boat segment earnings comparison in '18 will also benefit from the previously announced decision to shut down our Brazilian manufacturing operations. In our Fitness segment, we're projecting revenue growth to be in the 5% to 6% range for the year with fourth quarter performance in line with third quarter results, reflecting benefits from new product along with strong international growth. Sales of Cybex products in the fourth quarter will be lower due to weak demand of certain traditional products and the timing of the new product launches. Operating margins for the year will be down, with year-over-year declines in the fourth quarter slightly improved versus the year-to-date. For 2017, margins have meaningfully trailed our expectations due to several factors, including weaker-than-expected demand, shifts in sales mix and a more challenging competitive condition in certain international markets. As we believe that these factors will persist into 2018, it remains prudent to adjust our short-term growth expectations for this business. However, our long-term outlook anticipates market conditions improving in certain segments or regions and the business benefiting from new products and technologies, both of which would provide tailwinds to the segment's performance. As a reminder, the Fitness segment's performance in the fourth quarter and 2018 will benefit from certain cost actions taken in 2017, including the headcount reductions announced in April, which result in an annual savings of $7 million. Additional cost benefits will also be realized, including benefits from our manufacturing capacity initiatives as additional new products are introduced and the ongoing savings from our Lean Six Sigma projects throughout that organization. We continue to believe in the long-term growth prospects for this business, particularly as clubs embrace the opportunities enabled by the evolution of technology. Our long-term objective is to stabilize and then grow our margins, and we believe we have a strategy that will successfully deliver this margin expansion while capitalizing on market opportunities. I would like to close with a reminder of a few of the comments I made in the opening. With a good portion of the Marine season behind us, we believe that both domestic and international Marine markets are performing in line with our expectations and that our product leadership strategy will continue to advantage us in the marketplace. Presented with new challenges, the Fitness business will adjust and streamline its strategy in order to overcome such challenges, capitalize on the growth opportunities and achieve its long-term profit goals. I'm confident that the management team and our 14,000 dedicated Brunswick colleagues are committed to delivering and executing our growth strategy in 2017 and beyond. We expect to finish 2017 with record earnings and positive momentum, allowing us to be well positioned for 2018 and beyond. In closing, I hope you will be able to join our Investor Day on Tuesday, November 7, in New York, where we will communicate the next three-year plan, covering 2018 through 2020, discuss our exciting strategic initiatives and offer the investment community the opportunity to learn more and hear more from our business leaders on how they plan to deliver the increased shareholder value through continuing operating excellence. And with that, we'll be happy to take your questions.
Operator: [Operator Instructions] And our first question comes from Tim Conder from Wells Fargo.
Tim Conder: Mark or Bill, whoever wants to take this, is there a way that you can parse the impact of the manufacturing disruptions in your boat business here in Q3, Q4 versus the -- what's been ongoing large boat sluggishness? And any impact from that from therefore, we would anticipate that, that should not repeat itself looking into next year? But if you could break that down a little bit. And then, are you seeing any slowing in any of your brands outside of the large boats, I guess that would be a question. It doesn't appear that way but just wanted to ask that directly.
Bill Metzger: Tim, I'll take the questions. The first -- I'll take the last one first. I would say, we're still seeing very strong activity in all of our outboard-based businesses, led by Whaler, Lund and others. Outside of the boat business -- outside of the large fiberglass boat business, we're pretty happy with where the market trends are at the present time. Just trying to size for you the impact of the large boats versus hurricanes, if you -- the metric we gave in our prepared remarks on the Boat segment comparisons for the third quarter being affected by 11%, about a third of that impact was due to the hurricanes and the other two thirds was the impact of big boat reductions.
Tim Conder: Okay, okay.
Bill Metzger: Does that help size the -- and I would say, Tim, just to close the loop on some of the impact of the hurricanes, as we sit around and think about our performance against where expectations were for the quarter, the hurricane was about responsible for a little under half of our shortfall versus expectations and kind of Fitness volume was the other portion of the shortfall.
Tim Conder: Okay. So, then I guess, here -- on a look forward basis, we would say that as you get that replacement business and so forth and you get back to maybe retail that was postponed in the August, September period, we should see both normalized and outside of the large boats really -- and the hurricane impact here, there's really nothing else going on with boats. So, on a continuing basis, it's just the large boat concerns. Is that a fair characterization?
Mark Schwabero: Yes, that's a fair characterization, Tim.
Tim Conder: Okay. So then, I guess that brings us to Fitness here. Obviously, then, what you were seeing in the core club market and competitive situation, you needed further restructuring charges, which you took her even after integrating Cybex and everything was done there. So maybe walk us through that. And then how are you looking to pivot here from what you're seeing in what could be a secular shift within that core club market?
Mark Schwabero: Well, I think the -- let me kind of go from the latter part of the question forward. As we've said, we more or less see a flat global demand. Europe, in particular, has been down. The flip side is Asia has been up nicely, but when you really get into the things impacting the business, I mean, fundamentally, the gross margins on the business are pretty good but without the volume that we anticipated getting, that's largely leading to the shortfall Bill just talked about. So what kinds of things are really going on there? One, we've been trying to reallocate resources and deal with the cost elements of this, and we've been doing things around restructuring and the operating excellence. But the other part of it has really been around the things on new products and technology, and we're really excited about -- and we've been getting great feedback about the new line of cardio products we're in the midst of bringing out and then the new products that'll happen in fourth quarter and into the first quarter under the Cybex brand. So, I think it's a combination of making sure our cost and things are really in line, but the other part is really making sure that the new products we have are hitting the mark and the technologies we're capable of bringing out are going to help traditional clubs and others, stimulate them to get into some of the replacements or other things that they're going to see products that have value relative to doing some refreshers and upgrades.
Bill Metzger: Tim, on your restructuring question just to follow up. The majority of the charges that we took related to our announcement that we were going to discontinue and get out of the InMovement business, which made up quite a bit of the charge. And then we've got -- if you remember, we're in the process now of transitioning manufacturing from the Medway, Massachusetts facility, that's completing here in the third quarter and there are some charges associated with that. So, we've kind of got some residual and ongoing transition costs associated with what we're doing with the manufacturing footprint. Plus, we've got some charges that we took in connection with our decision to get out of InMovement.
Tim Conder: Okay. And last question, related to that then. If it's a permanent shift potentially going on in what the core clubs are apparently seeing, how can you take your current product portfolio or are there new things in development that can help you with hospitality, government, maybe the rehab hospital type of market? And then if that does occur, do you see getting back to the original growth that you participated? Or have we adjusted now down to a new normal that you think going forward here in the broad Fitness business?
Mark Schwabero: I don't think we're adjusting, Tim, to a new normal. I think if you look from a much longer term, there's always been a bit of dips and things relative to changes within that -- within the market. And the reality I think is that as we can get new products out there, people will adapt to this changing environment. And if you take the hundreds of thousands of pieces of equipment out there and the change, we're just positioning ourselves that we've got a product and a technology solution that we're going to get more than our fair share of that market. And with the new products and the resources we're allocating on the technology side, we're really comfortable. The other thing I'd point out is, what we've said is that the majority and the bulk of the flatness is really dealing with the traditional club. In general, things like multi-family housing, hospitality, education, those markets are just fine.
Operator: Our next question comes from Scott Stember from CL King. Please go ahead.
Scott Stember: Just the -- further parsing out the impact from the hurricane. I just want to make sure I understood this. You were saying that at least versus where your expectations that half of the miss or half of the weakness here compared to what we were looking for was related to, I guess, you said that one third of the 11% for the hurricanes and the other two third just the ongoing piece of that you're talking about for the boat business, just cutting costs or just cutting production.
Bill Metzger: Correct. So, the hurricane impact was about -- it's a little under half of the gap between expectations and where our reported EPS was. So, call it, if it's a $0.09 gap, it's in the $0.04 range, just to, I guess, be direct on the question. And then you're correct with the revenue that about two third of that 11%, the 11% impact that I cited on both segment sales, about one third of that was related to the hurricane.
Scott Stember: And then just further breaking that out, you said that, I guess, 25% of your sales were impacted. I guess, so this is assuming that this is really Hurricane Irma in Florida more than anything else, correct?
Bill Metzger: No. I'd say you've got to separate this, Scott, into two pieces. First is our manufacturing operations and what we were able to produce and ship were affected by the hurricane. The retail comment has more to do with what part of the retail market over the last four months of the year is going to be affected by the hurricane. So that 25% of the remaining 15% of the year is kind of the -- as you start to think about what the impact on retail might be over the last four months of the year, that's the right way to think about it. But they're two very separate sort of a thing. Part of it was our inability to produce product because we had people who had to evacuate, come back and then it took us a day or two to get operations up to full strength. So that's really what we're talking about here.
Scott Stember: And then did you mention when you will be all caught up with production, where you need to be?
Mark Schwabero: We didn't say when. But the comment is that essentially, we were running and had expectations for the quarter and our production schedule. So clearly, the catchup's going to carry from fourth quarter a little bit into '18, Scott.
Bill Metzger: Although I'd just add on to that, that the place where our Boston Whaler fiberglass outboard businesses were probably the most affected. They're in a position where they can get largely caught up by the end of the year. The other two operations were tied to the sport yacht business. We're probably not going to get -- that's not anything we're going to get caught up with. That flows into '18.
Scott Stember: Got it. And obviously, with your retail sales in the quarter picking back up, I guess part of that is reflective of the supplier constraints that you had in the pontoon business clearing up? Is it fair to assume in the fourth quarter that, that should be 100% taken cared of?
Mark Schwabero: Yes. As we said in our comments, Scott, the only place we think we're probably down a little in share has been in the pontoon area. That's behind us. So essentially, we'll continue with our growth rates exceeding the market on the other areas of the business.
Operator: Our next question comes from David MacGregor from Longbow Research. Please go ahead.
Brandon Rolle: This is Brandon Rolle on for David MacGregor. First question I had was just on the retail sales growth, very strong. We all knew Florida was going to be impacted by the hurricanes. But could you talk about some of the other regions and the growth rates you saw there, like in the Northeast, and maybe some of the coastal markets?
Mark Schwabero: My comment would be that fundamentally, the rest of this -- I know it's a broad statement to hear, but the rest of the market really performed and behaved pretty much as we expected. I'm going to give you a little caveat. From the start of this year, we've talked about SSI lagging. And we've got particular strength in the upper Midwest. And I would tell you there's still probably a lag in the reporting in the upper Midwest that we believe we're doing better than what's been reported to date. But the rest of the regions were all pretty much in line with how we've laid out the year and how we've talked on prior calls. The comments, specifically, are more around Texas, Louisiana and Florida, particularly as we talk about the hurricane side.
Brandon Rolle: Okay. And also, just on the engine business, you had talked about investing more for new product introductions. I know you may not want to touch on this, but would those product introductions maybe include a refresh, maybe in the 400 horsepower, where Yamaha is coming out with a new engine as well?
Mark Schwabero: Well, we'll talk more about the product plans when we're together at the '18 through '20. But it's no secret, we're investing significantly in a product program. And we get -- Bill and I get really excited about our opportunity there. But no, I can't really talk about it yet.
Bill Metzger: We want to talk about it, but we can't talk about it.
Operator: Our next question comes from James Hardiman from Wedbush Securities. Please go ahead.
James Hardiman: So, I don't want to beat a dead horse with the hurricane, but I think you did a great job quantifying the impact for the third quarter. Certainly, it seems like the fourth quarter result is also coming down versus the way you previously thought about it. Is there a hurricane impact there? Or is that all Fitness and, I guess, other boat issues? And then I guess, as we look to 2018 -- sort of similar question, I'm assuming there's no hurricane impact in 2018. But as we think about the new $4.20 to $4.40 versus what you previously had, maybe talk a little bit about the segments. I'm assuming engines are still as good or better than you'd previously assumed. Clearly, there's some Fitness coming down, is the boat outlook coming down as a result of all that?
Bill Metzger: Yes, I would say, James, to talk to some of this stuff but the -- on the boat -- on the 2018 sort of preliminary view, that -- the biggest contributor to kind of the reset there is our view of what revenue growth and margins are going to be for the Fitness business into 2018. And we're also a little bit less -- there's a little bit of an effect there of our view of the big boat business continuing to, I'd say, stabilize and operate at levels that we're seeing here in 2018 -- in '17. But with a view that we're probably going to be shipping at wholesale below retail for some period of time into '18 until we see some sort of change in what the market's doing. And that's one of those, James, where if the market starts behaving a little bit more favorably, perhaps we might do a little bit better. But our view today is that that's the market that's going to continue to be a little bit more challenged. In that sort of an environment, we're probably going to be operating at wholesale below retail. And when you think about your fourth quarter comment, it is probably an equal amount of the fourth -- third quarter shortfall in Fitness probably equal to what we're going to see in Q4. And the other gap in the boat business is really a little bit more of a conservative view and prudent view on large sport yachts and yachts, where we're not seeing production come back to the levels that we had initially planned on the July call. So, part of that is driven by our view of hurricanes and just the fact that we have not seen things come back.
Mark Schwabero: And James, I'd add one other comment that we said, but I want to make sure that it's clear to everyone is, the $4.55 to $4.95 was our -- a strategic view of '15 into 2018, and that is the strategic view. When we -- I want to remind you when we talk about the next year's number, we never talk about any acquisitions that we have not yet completed. So, when we talk about $4.20 to $4.40, that's nothing beyond acquisitions we've already done. The $4.55, $4.95, clearly, would have some -- because it's a strategic number, it would have some acquisitions in it. I want to point that out as well.
James Hardiman: But just so I'm clear, if we were to include the acquisitions, are we still at $4.55 to $4.95? Or is it -- I'm assuming it's still something meaningfully less than that?
Bill Metzger: No. I mean, if we're just executing against normal bolt-on activity, James, it would incrementally improve the number, but it wouldn't necessarily get you to $4.55 to $4.95.
Mark Schwabero: That's correct.
James Hardiman: Got it. And then on the big boat side, I just want to clarify, when you talk about wholesale being beneath the retail, it's just in the big boats, I'm assuming. Is that right?
Bill Metzger: That's correct.
James Hardiman: Okay. Three months more...
Bill Metzger: Yes, what we've tried to do on the -- sorry, what we've tried to do with some of our comments is this big boat thing is a dollar issue. It's not a unit issue, right. The units are a very, very, very small fraction of what goes on with pipeline in our reported wholesale and retail units. So, you really need to look at them separately.
James Hardiman: Got it. So, as I think about that, the big boat issue, you've had another 3 months to maybe think about why that's happening. Any new theories as to what's making that ultra-wealthy consumer turn away, tax reform maybe, could that help? And any new theories as we -- we've got a few more months to digest all this?
Mark Schwabero: Well, James, I'm going to give two answers. One, we're talking the 41 to 65. I'm not sure that's ultra-wealthy from the category of who the buyer is there. I mean, just a clarification. But I don't think there's going to be...
James Hardiman: I see it as ultra-wealthy, but point taken.
Mark Schwabero: Yes, yes.
James Hardiman: Wealthier than me. A lot wealthier than me, how about that?
Mark Schwabero: The feedback is from dealers that are in that segment, it's more around -- it's not that there's not a customer out there, it's more about it's just taking longer and longer to close deals. And that could be things around trades, it could be any number of things but -- so I'm not sure it's -- the environment in Washington could have some impact, but I don't think anybody knows for sure.
Bill Metzger: James, I will point out that within the next two weeks, we'll have the Fort Lauderdale Boat Show. That's obviously a fairly important selling show for boats of this type. Sea Ray generally will hold their yacht expo towards the end of November, that's -- I mean, we're going to get some real live input here in the fourth quarter that should give us a little bit clearer view of where the consumer is there and where the market's going.
Mark Schwabero: And that's going to really let us dial in. I mean, typically, we'd be talking about the '18 number on the January call, but we thought it was important to get it out there now and in advance of the Investor Day.
Operator: And our next question comes from Michael Swartz from SunTrust.
Michael Swartz: Just quickly, I wanted to ask on the -- some of the boat issues we had in the quarter but with the hurricane. Did that have any corresponding impact on the engine business as well in terms of when they would have booked some of their revenue?
Mark Schwabero: Well, yes. I mean, the intercompany sales, it's got to be a sold boat for a boat -- for the engine guys to count it as an engine sale. So, there's some minor impact, but again, less than 20% of -- in total, it's only a small portion of the engine business goes to Brunswick, and then the other part of that equation is mostly other places were all in markets and environments and things that weren't impacted. So big boats don't have Mercury engines in them and the Whaler stuff, as we've said, will have some catch up [to it yet]. But the engine business really had very little impact from the hurricane.
Bill Metzger: Although we did have some P&A business that we -- was either lost or deferred because we've got distribution operations in Florida and the Houston area that probably felt a little bit of it, so.
Michael Swartz: Okay. And then just on the Fitness side, I'm just trying to kind of get a sense of maybe what happened or when you saw it happen during the quarter. Because typically, I was under the assumption that you had pretty good visibility in the back half of the year by the time you got to late July, and typically give second quarter guidance. So just trying to understand better what changed and really when it changed.
Mark Schwabero: Yes. The clarification, what we've said is we get a 60 to maybe 90 days visibility. That's about all the visibility we have on that business in terms of orders. Now we get some strategic view that somebody will say, they plan to refresh X or open Y. But in terms of actual orders, it's a shorter horizon. So, one was when we started really -- that's a point of visibility. But in terms of when we started really seeing, it was probably early September in terms of maybe those orders not being where we thought they were going to be. But the margin piece of the equation, I mean, from a price and competitive market, that's really -- it's really the specific geographic areas. And that's live, literally, as deals are happening and being conducted, you're seeing that stuff going on. But I would tell you that at the point we were looking at third quarter in the July call, we didn't have visibility to the degree that we were impacted in the third quarter.
Bill Metzger: And Mike, the only thing I would point out is that September is when the business really ramps up for the end of the year. There's a pretty marked change between July, August and then the September sales levels. So that's when a lot of the sales decline occurred. And I would just say, on the margin side, we had -- really hadn't expected the margin environment to maybe stabilize. It got a little bit more challenging than we originally expected. But some of this, we had already incorporated into our guidance and plan for the year.
Michael Swartz: Okay. And then just a final question, just clarification on some of the comments you've made around Fitness and timing of sales. It sounds like you had some revenue shift from the third quarter to the fourth quarter, any way to quantify that? And then, Mark, I think you said that growth in the Fitness business for the fourth quarter year-over-year would look similar to the third quarter. Are you talking about organic growth or all-in growth of 2%?
Mark Schwabero: No, I was talking about the organic growth.
Bill Metzger: We really don't have any acquisition impact in Q4, Michael, so it's all organic.
Michael Swartz: And then any clarification on the shift?
Bill Metzger: If you take a look, we isolated our comments to Europe. And it was a portion of the reason why Europe was down 5% year-to-date. It would get to a point to two points of growth for the business.
Operator: Our next question comes from Joe Altobello from Raymond James. Please go ahead.
Joe Altobello: I guess, since we're talking about Fitness, I'll start here. Obviously, the change in the competitive landscape in Europe impacted this quarter. But it doesn't sound like it's changed your long-term outlook. I just want to clarify there. Is there any change to that long-term outlook of high single digit growth and maybe 15-ish percent margins for that business?
Mark Schwabero: Joe, I think -- I don't think it would be -- I don't think it's changed our long-term view of the business nor where our expectations of where we can get margins to. I think it has pushed it out a little bit. I don't think it's going to happen in the exact same time frame. But strategically, we still believe that all the fundamentals around this business are the right kind of fundamentals. And the other part is the fact that things we're working on from a technology perspective, we believe will help. But I'd encourage you to come to the Investor Day here in less than two weeks, and we'll spend a lot more time laying out the longer-term view as part of that meeting.
Joe Altobello: It sounds like the price pressure that you saw was predominantly on cardio, which is in sync since you guys just did the cardio refresh. So, I was curious if that was a reflection on the success of that launch at all?
Mark Schwabero: No. Let's be real clear. You're correct, it was on cardio, but it was really all on current production, not anything to do with new products. In fact, it was existing product that has been out and around there for a while that we were feeling more pressure on, not new product.
Joe Altobello: And just lastly, your free cash flow guide, no change there. It implies a pretty big number in the fourth quarter, which is fairly unusual seasonally. Help us understand where that comes from.
Bill Metzger: Yes, some of it's the working capital. Build reverses and CapEx is timed a little bit differently and you've got, obviously, some earnings improvement embedded in there. Those three things will get you to a better fourth quarter number.
Operator: Our next question comes from Greg Badishkanian from Citi. Please go ahead.
Greg Badishkanian: Just on the Fitness side, in terms of the challenging global environment that pressured sales and margins that you've talked about, just could you -- how has that changed since, let's say, the beginning of the year?
Mark Schwabero: Well, I think a couple of things. It's -- earlier in the year, we saw some mix shifts going on between some of the product side, but the Europe became more prominent as we've gone through the year, both in terms of the makeup of the customer that's buying the product there as well as the competitive environment that we're operating in over there. I mean, some dynamics have changed in that market, Greg, as we went through the year.
Operator: Our next question comes from Seth Woolf from Northcoast Research. Please go ahead.
Seth Woolf: I wanted to ask you about the Fitness business. I don't want to belabor the point, but ex acquisition, it was flat. And at the beginning of the year, the narrative in the Fitness business was how we would see the new products drive acceleration. Now we're talking about additional challenges. So, does that mean if it wasn't for the new products then the business would be even softer? Or did that not have an impact? And then just kind of digging through this a little bit further, are the new products not having the impact that you envisioned or is it still a function of the weaker market?
Bill Metzger: Well, I'd say, early in the year, the timing was probably a little heavier in Q3 on the new product launch. And it's probably ramping up more of a ramp-up in Q3 and going into Q4. So, there's nothing about the success of the new product and the feedback we're getting. It's probably from early in the year, it's probably shifted slightly from a ramp-up perspective. So, what we're really talking about is not the new product. And I want to remind people from the time frame of when you announce it to you start building it to you get everybody going, that's not an instant pudding. And we're still going through the ramp-down right now of existing product. That will happen through the -- we'll pretty much be complete by the end of the first quarter, and then going through the ramp-up of the new. So, what we're talking about in the market isn't a reflection of our new product. It's just a reflection of things we're seeing in the marketplace. And something I said earlier, we would expect that the new product would potentially have some stimulus to wanting to, again, stimulate a little demand in the market. But that remains to be seen yet.
Seth Woolf: Okay. I guess, just real quick, bigger picture question on the Fitness business. With the market pressure, we're not seeing the margins that we've grown accustomed to seeing, but how do we square some of the commentary with -- the historical margins in this business, it used to be more of a mid-single, high single digit business. You saw a lot of improvement; can you just help us think about -- just remind us some of the drivers that led to the robust growth in margins that we've seen? And then why you still feel good about the mid-teens target longer term? And that's it for me.
Mark Schwabero: Yes, I want to go back, Seth, and make sure we're calibrated properly. I mean, that business used to be high single low teens, low double digits is where that business historically has operated. It got up into, I'll say, the 13s, 14s clearly, but that wasn't the normal place that business was operating. And fundamentally, what some of the things that have changed, obviously, is -- and we've said this before, we're growing at a faster rate in strength in cardio and new products, we'll have some help there. But our strength business has a lower margin to it than the cardio. So, some of that has some impact on mixing down as well. Customers are getting bigger. That has some impact versus where it was historically. But I think as you go back and look at it, Seth, you're going to see that the business has been in high single to low doubles and -- from a historical perspective.
Bill Metzger: Seth, the only thing I'll add to that is, is that I think as you listen to our prepared comments and start thinking about things you might hear about on Investor Day, the -- part of what Mark referenced with customer product mix, etcetera, is there. But you've also got a dynamic where the larger customers within markets are growing faster than everybody else. And there's a -- I think embedded in that is our desire to continue to be extremely competitive operationally on the cost side. And I think as we look forward, we plan to be very well positioned there.
Operator: At this time, we would like to turn the call back to Mark for some concluding remarks.
Mark Schwabero: Yes. I'm just going to echo a couple of things. First, thank everyone for the time and attention in joining us today. The second point is, I want to make sure people understand, we view this as a disappointing quarter but fundamentally, remind people that the direction and what we've laid out for the full year will put us back into -- it's going to be another year of record earnings. So, we think our strategy is still the right strategy, the cash flows are really strong on this business. And I think all that will play out and I really look forward to -- it's about 12 days from now when we're together on November 7 to speak some more about this. So, thank you for your time today.
Operator: Thank you, ladies and gentlemen. This concludes today's conference. Thank you for participating, and you may now disconnect.